Operator: Good morning. My name is Kristen, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the IDEX Corporation Q4 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. At this time I would like to turn the call over to our host Mr. Michael Yates, Vice President and Chief Accounting Officer. Please go ahead.
Michael J. Yates: Thank you, Kristen. Good morning, everyone, and thank you for joining us for our discussion of the IDEX 2011 financial highlights. Last night we issued a press release outlining our company’s financial and operating performance for the 3 and 12-month periods ended December 31, 2011. The press release, along with the presentation slides to be used during today’s webcast, can be accessed on our company’s website at www.idexcorp.com. Joining me today from IDEX management are Andy Silvernail, our Chairman and CEO; and Heath Mitts, Vice President and Chief Financial Officer. The format for our call today is as follows, we will begin with a summary of the fourth quarter and full-year 2011. We will then disclose our redefined segmentation, followed by a walkthrough of our four legacy business segments. And finally, we will wrap up with a outlook for 2012. Following our prepared remarks, we will then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately two hours after the call concludes by dialing the toll free number 855-859-2056 and entering the conference ID 40912918 or you may simply log on to our company’s webpage for the webcast replay. As we begin, a brief reminder; this call may contain certain forward-looking statements that are subject to the Safe Harbor language in today’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that, I’ll now turn this call over to our Chairman, Andy Silvernail?
Andy Silvernail: Thanks, Mike. Good morning, everybody. I want to start here on Slide 5. By now you’ve all had a chance to review our press release and take notice of the strong finish to a very good year. We established record orders, sales, cash flow, and EPS. For the year, orders were up 18% and sales were up 22% exceeding $1.8 billion. Organically, we achieved 9% sales growth in spite of volatile markets. We completed the largest transaction in IDEXs history, with the acquisition of CVI Melles Griot, which further enhances our OpEx and protonics capabilities. Our integration of CVI is on track, and we’re in the process of executing integration plan, including our commercial strategy and planned footprint consolidation. Full-year EPS was $2.56, up 29% over 2010, and full-year adjusted operating margin of 18.1% was up 90 basis points from prior year. On a apples-to-apples basis, that is excluding the impact of 2011 acquisitions, operating margins would have increased 200 basis points, so I’m pleased with our team’s focus and execution to drive strong profitable growth. Now on to the fourth quarter. Sales grew 19%, 7% organically. Operating margins were up 40 basis points year-over-year, or up 160 basis points when we normalize for acquisitions. As we get in to the segment detail, you’ll see a broad based performance where we drove productivity throughout the organization. Free cash flow was $74 million in the quarter, resulting in a cash conversion of 155% of net income. Again, our team executed well and this is reflected in our improved working capital. In Q4, we completed the issuance of a $350 million ten-year public bond, which allowed us to secure long-term capital at an attractive low rate. Affectively, this frees up our bank revolver so that our strong free cash flow generation, and securing attractive long-term debt, the balance sheet is in great shape and we have plenty of dry powder to execute our short and long-term acquisition strategy. I’m proud of the team’s achievements. As we enter 2012, we see healthy order rates and outlook for many of our end markets. The January order rates were solid, and although markets remain volatile, we’re encouraged by the start. We’re still driving selective restructuring actions, and we will benefit particularly in the back half of the year, as we begin to realize savings from our manufacturing footprint consolidation. As I reflect on our outstanding year and the end markets driving our success, I tend to put our business in two general categories, high growth and high value. Our high growth platforms are those that will continue to acquire highly quality businesses and technologies that accelerate profitable growth and improve our competitive position. Not only do we have a full M&A pipeline for these businesses, we believe these have attractive organic growth potential. These high growth businesses are those that are primarily in our HST and FMT segments. High value businesses are those businesses that command premier margins due to the critical nature of their solutions and market and brand positions. While these businesses also have attractive organic growth potential, strategically we’ve chosen not to focus on M&A. These businesses fall in to our FSD and dispensing segments. Both high growth and high value businesses receive investment to innovate and continue to expand their market and geographic reach. Before I walk you through the segment results, I want to explain our re-segmentation. We’ve elected to realign our high value businesses. We’ll no longer disclose the dispensing equipment business as a standalone segment. Dispensing will now join BAND-IT, Hale, Hurst, Class 1 and Lucas brands, which all hold a number one or number two position in their respective markets. We believe having a combined Fire, Safety, and Diversified segment reduces unnecessary complexity. This newly combined segment is led by Eric [inaudible]. Eric joined IDEX in 2008 and has done an outstanding job leading our Gas business unit. In 2010, he added dispensing to his responsibilities. Earlier, in 2011, Eric was given responsibility for BAND-IT to Fire and Rescue. Under his leadership, we anticipate continued global growth across his portfolio while driving productivity and efficiency. This combined segment now makes up an excess of 20% of total IDEX sales, and delivers great operating margins. So there’s no change in the fourth quarter with the respect how we report the four segments. However, going forward, there will be three reportable segments. Now moving on to the segment results, this will be the last time we separately break out dispensing. With that clarification, I’ll begin the segment discussion starting with fluid and metering on Slide 6. I’d like to commend the FMT team for their outstanding performance in 2011, really a terrific job. For the fourth quarter, orders were modestly down organically as we came up against some tough comps from large projects and blanket orders in 2010. Sales increased 8% organically for the quarter and 13% organically for the year. FMT delivered an operating margin of 19.9% for the year, which was 140 basis points better than 2010. In Q4, our sales did benefit from specific project-related shipments, mainly in Europe and the Middle East, some of which have benefit in our backlog for several quarters. Within the Ag space, the Van Gel had an exceptional year. Van Gel is the clear market leader in a very strong end market and they’re experiencing tremendous growth, up 27% from prior year. Their orders have not shown any signs of softening, and we believe Van Gel will deliver yet again in 2012. Within chemical and energy, infrastructure expansion internationally and our focus in the aftermarket, generated double-digit organic growth for the full-year. I’m very pleased with the team’s reinvigorated efforts in the aftermarket. Our Water business continues to face municipal economic headwinds, while the near-term outlook remains muted, we expect long-term growth as global infrastructure investment picks up. Now on to Health and Science. Orders were up 40% for the quarter, organic orders were up 2%. Fourth quarter sales increased 51%, up 7% on an organic basis. Adjusted operating margin of 19.5% was impacted by CVIs margins that were dilutive to the segment. Excluding acquisitions, fourth quarter HST operating margins would have increased 230 basis points versus prior year. We expect HST’s margin profile to expand over time as we continue to execute the CVI integration, including manufacturing footprint consolidation and utilization of IDEX’s commercial and operational excellence programs. We pride ourselves on being an innovative and solution driven business. This winter, Precision Polymer Engineering, or PPE, an IDEX company that is a world leader in high performance seals launched a low temperature seal, good to 40 degrees below zero. This solution addresses the need for a liable durable sealing in conditions where competitors failed. Its enduring performance characteristics and ability to fill a void in the marketplace is what sets PPE’s Perlast ICE apart from its competition. And I believe this is yet another example what IDEX does best. PPE is well positioned to have another great year in 2012 through delivering new products, penetrating adjacent markets and expanding globally. As you may recall, our material process technology platform, which is heavily concentrated in food, chemical and Pharma, built significant backlog in Q3. While the pace moderated in the fourth quarter, we’re still experiencing very solid orders. The outlook for MPT platform is robust and provides us with confidence, heading in to 2012. Within a HST’s Solicit platform, that’s the business, which provides components to the instrumentation OEMs, we experienced moderation and growth rates as we come up against different comparisons. In 2010 and the first half of 2011, we saw more blanket orders in several large end market new product ramp-ups. Also, we continue to see volatility in the OEM environment. However, the end market and the specific applications where we provide content, have begun to stabilize. We are being cautious with our expectations for this platform, at least through the first half of 2012, as OEM funding concerns are worked out. In summary, for HST, we have great traction in our MPT platform and sealing business. The Optics platform integration is on track, and we are taking a cautious approach to the solicit platform. We still feel great about our leadership position and end markets for the segment, and we will continue to invest accordingly. I’m now on to Dispensing, Page 8. And as I mentioned, this will be reported under Fire Safety and Diversified in the future. In the quarter, organic orders were down 16%, sales were down 1%, flat organically. If you recall, Q3, 2011 organic orders were up 23%. This is the type of fluctuation quarter-to-quarter that is typical for Dispensing. Operating margin in Q4 of 3.7% is down 20 basis points versus 2010, primarily due to mix. However, operating margin was 16.3% for the full-year 2011, up 20 bps, compared to 2010, which is evidence of our ability to control cost and drive efficiency, even in a slowing market. This is largely due to structural actions we have taken, were we consolidated a number of European offices to supply – simplify our footprint. We’re not forecasting a broader market rebound, however, there are signs of recovery on the horizon. In 2012, we plan to further solidify our position as the global market leader through new product introductions with a particular focus on emerging markets. With a right size cost structure, we are well positioned globally for a market rebound. We’ll wrap up our segment discussion with Fire Safety and Diversify on page 9. This segment continues to perform extremely well given the challenging market environment. In Q4 organic orders were up 1% as sales grew 6% organically. For the full-year, orders grew 6% organically – excuse me, orders for 6% organically and sales grew 5% organically. Our Fire Suppression business anticipates that the North American market will remain flat in 2012, but the team’s success continues their ability to reduce cost and drive growth internationally. Our Rescue Tools business continues to perform. We believe our global growth will outpace domestic activity. BAND-IT had another excellent year. The team continues to find new applications and markets for their fastening products. In summary, FSD delivered top line growth while expanding margins 140 basis points. Further growth in the platform will continue in 2012 as we expand our reach across the globe and in to new markets. With that, I’m now on slide 10. I’ll walk you through our full-year 2012 guidance. I’ll start at the top of the bridge. As we previously disclosed, we secured long-term money Q4, resulting in incremental interest expense of $0.10 in 2012. In Q4, FX turned against us as the dollar strengthened. When we apply the January 31 month end rates, the result is a $20 million headwind for full-year results when compared to prior year rates. We anticipate mid-single digit growth across all platforms in 2012, which will provide 22 to $0.28 of EPS. The full-year impact of our IDEX Optics and Photonics platform will be 10 to $0.12 accretive over the partial year 2011 contributions, as CVI was acquired in the summer of 2011. The impact from our recent restructuring actions will generate another $0.04 of EPS. We’re also making some pretty significant investments in our operational and commercial excellence programs, most significantly, we made an investment in our global supply chain. These incremental cost will deliver sustainable profitable growth and savings today, and over the long-term. And all this bridge is the EPS range of 274 to 282, or 7 to 10% EPS growth. So if you’ll flip to the next slide. I’m now on slide 11, I’ll give you more color on Q1 2012 expectations and a few of the modeling considerations. We expect Q1 EPS to be 62 to $0.64, up 9 to 12% year-over-year. Q1 organic revenue growth will be approximately 4%. Just to be clear, our forecast assumes Q1 revenue is modestly higher than Q4 revenue in absolute dollars. In Q1, FX will have a negative year-over-year impact on sales of approximately 1%, and the new debt structure will have $0.03 EPS impact versus prior year. For the full-year 2012, operating margin for the company will be approximately 19%. Other modeling items I want you guys to consider, the full-year 2012 tax rate is anticipated to be approximately 30%. Full-year CapEx will be around $40 million, and as I said a few minutes ago, we demonstrated the ability to convert cash extremely well, and we anticipate similar performance in 2012, our cash generation will be well in access of net income. Our earnings projections exclude any future restructuring, future acquisitions or charges associated with acquisitions. That concludes my prepared comments on an excellent year and 2012 outlook. And with that, I’ll open it up to your questions. Operator?
Operator: (Operator instructions). And your first question is from the line of Jim Lucas with Janney Capital Market.
Jim Lucas – Janney Montgomery Scott: Thanks, good morning, and thanks for building our models for us, Andy.
Andrew K. Silvernail: No problem Jim, good morning.
Jim Lucas – Janney Montgomery Scott: I wanted to start first on the order pattern that you saw through the fourth quarter and how the year has started because obviously a lot of focus there especially with the references to the blanket order, so I was hoping you could flush out a little bit more of the patterns there?
Andrew Silvernail: Yes, no problem at all, Jim. You know, we’ve talked about this, even though last year of how we’ve seen kind of an overall change in order patterns where we are seeing fewer blanket orders, and order patterns – the volatility increasing I caught lead time decreasing. So we have seen blankets turn more and more into book-in-turn and that trend has continued and we anticipate it to continue going forward. So that’s pretty consistent with what we have communicated in the past and that is what we saw in Q4. In terms of the question on the start of the year, the year started well. January was very solid, we are encouraged to see, I guess, coming out of the gates we’re pretty encouraged to see all of the markets responding. We do believe that we saw some de-stocking in Q4 in a number of businesses, particularly in HST, and we have seen a nice bounce back at the start of the year.
Jim Lucas – Janney Montgomery Scott: Okay, and with that change from to more of that book-in-turn business, is this part of the evolution of the portfolio, or what has specifically changed with your customers order patterns?
Andrew Silvernail: Jim, I think it’s a couple of things. First and foremost, this trend started, to some degree or another, coming out of the recession where we saw a lot of de-stocking throughout the recession and not as much coming back in post. So I think it’s fair to say to some degree this started back in 2009-2010. You know, the other part is, candidly, with our operational excellence activities, our ability to shorten lead times, you know, in particular, I was over in Europe a few weeks ago and visiting one of our businesses that has literally cut lead times in the last fourteen months by 75%. And when you see that, customers get used to that and they bring down their inventory basis and they move more to a combine like behavior. So it’s – to some degree it’s the market place, and I think that’s the overriding trend. To some degree it is our ability to take down lead times, and I think everybody will continue to be cautious in the marketplace around building inventories until there is more, I guess, overall confidence in the overall end markets.
Jim Lucas – Janney Montgomery Scott: Okay, and as a follow up on a separate topic you’ve – you know, obviously we all see the headlines about Europe and emerging markets – you know, many people have been talking about a slowing in the growth rate there. Could you just give us a little bit of kind of what you are seeing in the emerging markets and how you are thinking about it in 2012?
Andrew Silvernail: You bet. I think like a lot of folks, we saw deceleration in Europe in, you know, starting in late summer, and that certainly continued into the fourth quarter. You know, at the same time it has not been a wholly negative story, so please don’t let anyone read into that. You know, our Europe has remained, I call it solid, but the growth rate certainly decelerated meaningfully in Europe – it started in the summer and into the fourth quarter. Asia, I think we all saw some slowdown in the third quarter in Asia, and we saw it kick back up in the fourth quarter, and I think that trend is going to continue, really driven by what we are seeing out of China as we look into the balance of the year.
Jim Lucas – Janney Montgomery Scott: Okay, great, thank you very much.
Andrew Silvernail: You bet, thanks Jim.
Operator: Our next question is from the line of Scott Graham with Jefferies.
Scott Graham – Jefferies & Co. : Hi Andy, hi, Heath. So I was hoping that maybe on the back of Jim’s question you might be able to give us – you gave us a little bit of color on the blanket orders in oil and gas and projects for FMT. I was hoping you could give similar color on HST, as well as FST, and then I have a follow up.
Andrew K. Silvernail: Yes, no problem. You know, I think the HST/FST stores are a little bit different, and what I mean by that is as we talked about it in the third quarter report, the HST – some of the HST end markets, and let’s be very clear about this, we’re really talking about the [inaudible] piece which is selling it to the instrumentation of OEM’s. You know, we have actively seen a significant change in terms of moving to more con-bond by a number of our major customers in that business, which really reduces the number of blanket orders, and we saw that in the mid-point of last year and accelerate through the third and the fourth quarter. Part of that is due to our operational performance, part of that is due to their operational performance in terms of their ability to manage inventory, but the biggest piece has been the uncertainty around the funding environment. And I think, you know, we are seeing some pretty mixed results at the end market level around that. And you know, I think we are going to see some of that through the first quarter – there is no doubt we are going to see that behavior through the first quarter, and then as the funding considerations get dealt with here in the back half, I think it improves. You know, I’ve said pretty consistently that, you know, I’m not sure if it’s a 3 or a 12-month phenomena, but it’s going to play itself out because the overriding trends in this business, meaning the scientific [inaudible] business, are positive, and we expect the growth rates to return whether it is in the back half of the year, or not, but we expect that to return. You know, on the FST side, Scott, a little bit different, you know, we had a really strong Q3 in FSD, we saw a number of pretty big things come through in Q3 – ship in Q4, and so, the phenomena is not as quite as great there. I will tell you that in FST, specifically in recue, we are seeing some pretty nice things internationally from a large order perspective, so we are encouraged by that, but I think the trend between HST and FST are a little bit different.
Scott Graham – Jefferies & Co. : Would you be willing to tell us an organic order number in the month of January for the whole company?
Andrew Silvernail: You know, we don’t break that out. I will say that it’s a positive.
Scott Graham – Jefferies & Co. : It’s a positive.
Andrew Silvernail: Significantly positive, better than our expectations.
Scott Graham – Jefferies & Co. : Okay, okay, thank you. The follow up question is simply, you know, with this dead issue that’s in the fourth quarter, it sounds to me, Andy, like you guys are setting yourselves up for another good period of M&A, and I was wondering, I know where the M&A is going to – you know, to be targeted the segments, but could you give us an idea of, you know, if it’s a fat pipeline like you said? What can we – what do you think we could reasonably expect in 2012 in terms of dispersement, can it be something north of 500 million on the capital outlays to form acquisition activity? Could it be in the seven-fifty area – what are you thinking on the back of the envelope?
Andrew Silvernail: Well, let me tackle two things, Scott, and that one around the debt, I just want to say first and foremost, I am really delighted with the team here and how they went about getting this debt placement, they did a terrific job, and when you think about it, we really have our path set in terms of capital structure for a very long period of time here. And you know, we have a tremendous amount of dry powder, it will be a very inexpensive rate as we utilize that, and you put that together with the strong free cash flow, and this really aligns us well to that billion to a billion two that we talked about being able to deploy over the next three years – so, first kudos to the team for that. On the M&A front, you know, Scott, when you said that 750, I had a couple of guys in the room kind of choke a little bit, but I got to resuscitate Heath. In all seriousness though, you know, if we do 200 to 300 million, you know, that would be a good year for us at 200 to 300 million in capital outlay, and that would be in line with our 1 billion to 1.2 billion dollar goal, and we’ve got a pretty good pipeline. You know, that being said, the nature of our pipeline is if more things broke our way, right, you could see that number creep pretty quickly as we saw in 2011. So, you know, a 200 to 300 would be solid, and if things break our way it could be significantly more than that.
Scott Graham – Jefferies & Co. : Thanks very much.
Andrew Silvernail: You bet Scott, thank you.
Operator: Our next question is from Matt Summerville with Keybanc.
Andrew Silvernail: Hey, Matt, are you there?
Matt Summerville – Keybanc Capital Markets: Hello?
Andrew Silvernail: Hi, Matt.
Matt Summerville – Keybanc Capital Markets: Sorry about that. It must have been the mute button. I was wondering if – with regards to FMT orders being down 1%, if we bucket that with oil and gas or energy and chemical, and Ag and other general industrial and then water, how those four buckets would have looked around, you know, that 1%.
Andrew Silvernail: You know, Ag was really good, and we anticipated it’s going to continue to be really good. The team [inaudible] is just doing a great job, really terrific. You know, energy and chemical were okay, they were solid and water was down, as we expected. I will say, however, that we feel pretty good that we’re kind of hitting along the bottom with water, and if I kind of think about, you know, actually water and fire, kind of put them in the new bucket so to speak, we feel pretty good that we are, you know, at or near a bottom relative to those businesses.
Matt Summerville – Keybanc Capital Markets: And then if we think about your three reportable segments now going forward and you’re kind of lining that up with organic growth guidance of about 5%, I guess, how do you see those three businesses kind of scattered around that five? Which do you see growing above, at, maybe below that level? And if you look at the three, where would you be most optimistic based on what you’re seeing in your order book early in the year? And then where would you be most pessimistic based on what you’re seeing in your order book?
Andrew Silvernail: You know, Matt, not to be dodgy about it, but I’ve got to tell you, the way our annual operating plan rolled up and what we’ve seen early on really shows the three segments being plus or minus, pretty close to that mid-range. If I had to handicap different pieces of it, you know, you’ve got some pieces that, you know, FMT could definitely beat the number just because of the strength in the infrastructure end markets and you know, we could see better than expected performance there. On the HST side, you’ve got what I talked about in terms of the instrumentation, which you know, I don’t see a downside to our expectations there and potentially in the back half, if the funding concerns get better, we could see some better performance there. And then within FSD, you know, we’re still expecting dispensing to be pretty flat and we’re expecting fire to be pretty flat. And we don’t see – there’s not – there really isn’t a catalyst here if I look at the back half of the year on an increase in muni spend, so I wouldn’t handicap that up. At the same time, I wouldn’t handicap it down. So you know, if I look at it relative to the portfolio, I don’t see a lot of potential negatives and I see definitely a couple potential positives.
Matt Summerville – Keybanc Capital Markets: If you think about this public funding environment kind of being there for a while, and we think about kind of in organic growth equation around HST in terms of content or share gains versus market growth, versus price, how are you thinking about how those three buckets will evolve? I’m really not talking about this quarter or this year, but over a longer period of time?
Andrew Silvernail: Sure. I think, you know, if you look at it long term, and you’re looking at HST as a whole, may I assume you’re referring to the fluidics piece, right?
Matt Summerville – Keybanc Capital Markets: If you’d like to speak to the fluidics and the non-fluidics, I think that would be helpful as well.
Andrew Silvernail: Okay. You know, on the fluidics side, you know, there are really two big driver to accelerated growth in that business. And, well, I’ll call it three big drivers. You’ve got one which is the m market itself and I do think, you know, as we move past these funding concerns, we’re going to see more like historical rates organically in that business. And all the market trends, I think, point in that direction over a three to five year period of time. So I think very favorably about that. The second piece of the equation is new product introductions. And you know, if you look at 2010 and 2011, early 2011, for those of you who know that space well, there was some pretty big new product launches that came out to the marketplace that drove some incremental growth. And we obviously played well in those and did well. And then the third piece, Matt, to your comment, is really around taking share. That’s a pretty consistent theme for us. You know, 2010, 2011, early 2011, we did better on some new stuff that came out, so that was positive. And we’ll still see some improvements. I will say though that if you look at the pipeline, our visibility into the pipeline of what’s being launched, which is not 100%, but it’s pretty good, you know, that’s not as robust in 2012, but I think overtime, that kind of cycles in two to four year cycles depending upon the market. So you know, generally, matt, I feel good over the long term in terms of those three things. The other things you mentioned were really around price. You know, price is – has been okay for us, you know, we have – it’s not an environment where we’re going to go out and get a bunch of price. There’s no doubt about that. But it’s also not a deflationary environment. So I’ll call that a neutral. So net-net, in the intermediate term, I think it’s about funding concerns and in the long-term, I really like how we’re positioned.
Matt Summerville – Keybanc Capital Markets: Thanks a lot, Andy.
Andrew Silvernail: You bet. Thanks, Matt.
Operator: Your next question is from Robert Barry with UBS.
Andrew Silvernail: Robert, are you there?
Robert Barry – UBS : Can you hear me?
Andrew Silvernail: Just now. Yes.
Robert Barry – UBS : Okay. Sorry.
Andrew Silvernail: No problem.
Robert Barry – UBS : I wanted to ask about the operating margin assumption and where you see the biggest improvement year over year?
Heath Mitts: Rob, this is Heath. I’ll take this one. I mean, we – on an organic flow through basis, we’re still holding to our 30 to 35% as we’ve been consistent with for several years now. That still allows for, with this type of growth rate for some healthy margin expansion. We’re guiding for the year somewhere in the 19s. If you look at where we’ve come in at the segment level, ex even some of the acquisition, some of that’s non-cash as you know, some of the amortization costs that came with CVI. The company did very well in terms of what our expansion was this year even with that as a headwind towards the full-year numbers. So I would say in general, I would model it around the 19s and we’ll see where we come in. Price will be a good guy in total for the company. It will be around 1% so that gives us some tailwind heading into the year. But there’ll be some inflationary pieces that have to be offset by that.
Robert Barry – UBS : I think you had talked on the last call about the HST segment kind of tracking in the 19s as you’re just layering in the amortization from CVI. Has the outlook changed there at all or is that still kind of comparable to …
Heath Mitts: No, we did 19.5 this quarter, which is sticking with kind of third quarter view as well. I’d say, you know, we’re – in terms of cost that are coming out, especially some of the structural costs that are coming out related to some current consolidations within the CVI, or the overall optics platform, you’ll begin to see that begin to increment up with the flow through assumptions still of 30 to 35% for that segment. We won’t see kind of full run rate for a couple of those consolidations until the later part of 2012 and there is a little bit of investment that will come in ahead of that, but I would tell you that, you know, I would model HST in kind of the mid-19 and the 19.5 and you’ll begin to see it increment up to an exit rate of 2012 with probably a 2 in front of it.
Robert Barry – UBS : Okay. And then just finally, I just wanted to be clear on the HST segment, I think it was about like 7, 8% of that segment that you thought was kind of directly impacted by NIH funding and maybe as much again that kind of impacted because of it’s adjacency to NIH funding. I mean, in your planning assumptions, are you modeling that – call it 15, 16 percent of the segment to be kind of flat, down, up? How are you thinking about that piece?
Andrew Silvernail: That’s a great question, and the way we’ve kind of talked about it with everybody is, if you think about the end market, so the piece that we’re talking about here, Robert, is about 30% of HST, right. And HST is about 30% of IDEX so that’s kind of how we’ve talked about it. And the end market that that business touches, to one degree or another, if you look across the globe, NIH or NIH-like funding is about 30% of the money flows. That’s kind of how the math works. So the – you know, our expectations, by the way, for those of you who have been watching, the NIH budget did not get cut as you looked at those actual results, 1%, you know ,for their fiscal year. I think they announced that in October or November. So you know, it was a little bit better than expected, but obviously with the election and what happens next year, we’ll see how that plays through. But other NIH-like bodies across the globe are more positive, especially when you look at Asia. So specific to your question, how we’ve thought about that is we look at the first part of the year for that business to be pretty flat, you know, in terms of revenue. The first quarter being the most challenged, not necessarily because of the sequential order rates, Robert, but because, you know, the last 2012, Q1 2011 for that business was a monster. It was really a great quarter. We had a number of very large blanket orders and some pretty good sized product ramp ups. So first quarter is a pretty tough comp, second quarter is kind of flattish and then we expect to see very modest improvement in Q3 and 4. So we are not modeling in or building a plan that has an expectation of a blowout rebound, which I think is the prudent thing to do for the balance of this year.
Robert Barry – UBS : So it sounds like first quarter will be kind of the weakest quarter of the year and then between the NIH issues, the restructuring, et cetera, it sounds like momentum should build during the year?
Andrew Silvernail: No doubt, that’s exactly right.
Robert Barry – UBS : Okay, thank you.
Andrew Silvernail: You bet.
Operator: (Operator instructions). And your next question is from Allison Poliniak.
Allison Poliniak – Wells Fargo Securities, Llc: Hi, guys. Good morning.
Andrew Silvernail: Hey, Allison.
Allison Poliniak – Wells Fargo Securities, Llc: Just going back to the Q1 orders, is there any specific segment driving that? It sounds like HST, the fluid side is still a little bit weak. Can we just assume FMT is the strength here?
Andrew Silvernail: You know, I think what you see is, you know, HST was actually up 2 in orders. No, I’m sorry. You said first quarter, Allison?
Allison Poliniak – Wells Fargo Securities, Llc: Yes, for January, sorry.
Andrew Silvernail: My apologies. Actually, Allison, it’s very broad based. January was surprisingly broad based and so we feel, that’s one of the reasons that we feel pretty good about it. So there hasn’t been kind of a, you know, a massive move one way or the other.
Allison Poliniak – Wells Fargo Securities, Llc: Okay.
Heath Mitts: Allison, this is Heath. I’d say, just to add on to Andy’s comments, you know, as we’ve talked in the past, there’s certain businesses within IDEX that we look at that are fairly relied upon daily, book and bill rates and those are not just FMT, those are portions of fire and safety, specifically BAND-IT. Those are portions of HST, not just with the OEMs there, but also businesses like gas and so forth that really, really were strong in January, which gave us a lot of confidence as we’re in. I’d say the only soft spot we saw was probably, and it’s not in organic numbers because we have not anniverseried it yet, the semi-con is a bit soft and that impacts portions of HST specifically within the optics business of CBI and a little bit within our seals business. But other than that, it was very, very good.
Allison Poliniak – Wells Fargo Securities, Llc: Okay, great. And then obviously, the U.S. water markets challenged, but can you comment on what you’re seeing by the U.S. for those businesses?
Andrew Silvernail: Yes. You know, the bright spots for us in water have been – have certainly been outside the U.S. Now, I should say, outside the U.S. as you look east. The western markets, you know, still look a lot like the U.S. and I think that’s very fair to say. But the Asia markets and the Eastern European markets are – and Latin American are pretty solid. You know, so – and we expect that trend to kind of continue. And the other bright spot there has been the industrial water side. So the trends that we’ve been talking about here for quite some time are pretty consistent, and again, you know, we’ve built our annual operating plan and if you look at our – the actions that we have taken, the restructuring actions that we’ve taken, they’ve been focused around these businesses, including water where we’ve seen sluggishness.
Allison Poliniak – Wells Fargo Securities, Llc: Okay, great. Thank you.
Andrew Silvernail: Thank you.
Operator: Your next question is from Charley Brady with BMO Capital Markets.
Charles Brady – BMO Capital Markets: Hey, thanks. Good morning, guys.
Andrew Silvernail: Good morning.
Charles Brady – BMO Capital Markets: With respect to FMT, I just want to make sure I’m sort of clear on the direction you’re giving people in Q1 in particular and for the company as a whole. You had a negative, you had minus 1 orders in FMT in Q4. In Q1 you’ve got a tougher comp but January it sounds like it was a pretty strong snapback and I’m just trying to square that up. Was there something that either pushed Q4 down that’s not going to be repeated or conversely, you know, in Q1, was there something that popped up that reversed direction somehow because you would think that with a tougher comp your orders in FMT in Q1 would be about the same or maybe a little bit worse?
Andrew Silvernail: You’ve got a few things in there. The most important is really looking at the kind of, you know, the blanket flash project orders that we comping against at the end of Q4. You know, Q1, you know, as we mentioned a moment ago, we’ve seen a pretty good start collectively across the board and so we have, as we look at that, that’s kind of the big thing, Charley, that’s in there is really looking at the blankets in the project. Other than that, you know, it’s just been a solid rebound and we’re encouraged by it.
Heath Mitts: Charley, the only thing I would chime in is we do expect the fourth quarter to be our slowest on a year-over-year organic growth perspective on the sales. We do expect it to be slow, the slowest. As you’ve seen, we’re guiding around 4% for the fourth quarter organic and our full year is guided a little bit higher than that. So you will see just the natural flow and there’s some seasonality with pieces of it was well. So you know, I think we’re confident in Q4 and the orders are lining up well to support that.
Charles Brady – BMO Capital Markets: Okay. And you said Q4. Do you mean Q1?
Heath Mitts: I'm sorry, Q1. I apologize.
Charles Brady – BMO Capital Markets: No worries. And just switching gears, so on the emerging markets, your Brazil, India, China, you’ve got a new facility you opened recently in India. Can you talk about Brazil, though, you know, you [inaudible] even looking at maybe putting more manufacturing footprint in country? Just kind of an update on what’s going on with that and kind of where you see also what’s going on within China opportunities?
Andrew Silvernail: Yes. So let’s talk about Brazil first, Charley. You know, Brazil, I would say that the commentary is similar to what it was in the third quarter. We’ve got some pretty intense focus there on looking at our options. There are some acquisitions that we’ve looked at pretty heavily in Brazil that would help us accelerate our footprint there and we’re studying that and making sure we make a good investment. But we’re certainly going to continue our press in South America. Relative to China and India also, you know, I think both of those we saw nice rebounds in the fourth quarter, you know, compared to the third quarter in terms of activity. And we think those will continue. We’re – the investment that we’ve made in India is very, very similar to the investment that we’ve made in China in terms of the capability of the footprint we put in place. And we’ve seen much faster adoption by our businesses in terms of utilizing that infrastructure to be much more local and we’re pretty encouraged by that. And you know, in China, it’s – China is a good story. It’s – we’ve been very successful. We’ve had incredible growth rates there for the last few years and we expect much better than market growth going forward.
Charles Brady – BMO Capital Markets: One more and I’ll hop in queue. On the supply chain, are you seeing any meaningful constraints or bottlenecks in the supply chain right now?
Andrew Silvernail: No, you know, we’re really not, and this time last year, if you all recall, there were a lot of concerns out there around inflation and around that question, Charley, around constraints. We really don’t see that at this point. I will say, however, that the – a major portion of the incremental investments that we’re making in 2012, and we’ll make more investments in 2013, are to improve our supply chain. We really think that an outstanding supply chain can be a significant competitive differentiator and we’re trying to build similar capability throughout the world that we built over the last three or four years in Asia and we think having a very strong regional supply chain capability is the right way to go in a world that is certainly converging.
Charles Brady – BMO Capital Markets: Great. Thanks.
Andrew Silvernail: Thank you.
Operator: Your next question is from the line of Scott Graham with Jefferies.
Scott Graham – Jefferies & Co.: I have two follow-up questions if I may. Last quarter, Andy, you indicated that sales in 85% of your businesses rose. I was wondering if you could give a similar metric for this quarter?
Andrew Silvernail: It’s – overall about 80%, so that 80 to 85 is pretty good. And the trends are really consistent, Scott, right. The places that we see pressure are the places that are facing municipal and to Heath’s point, you know, it’s not a big piece of the organic, but the semiconductor, I think as everyone has seen, has been, you know, for the last six months was pretty tough. Although, we’re starting to see that, you know, I think maybe hit bottom, but you’ve got a couple comps here that are going forward, but it’s really municipal and semi that you have the biggest issues.
Scott Graham – Jefferies & Co.: I got you. The second thing is, historically, the company has eliminated to reduce cost by 20 to $25 million from your productivity initiatives including purchasing mix model lean and otherwise. Excluding restructuring costs, benefits that is, do you see staying with that number under your – as CEO going forward, Andy?
Andrew Silvernail: I absolutely do. I think, you know, we’ve had a great history of driving productivity in the company. And as everyone knows, right, that bar gets raised a little bit every year and that’s a big piece, Scott, of putting more investment into the supply chain. You know, we want to drive that, and overtime, frankly, improve that. And also get the benefits of improved lead time and improved quality. So yes, the answer is yes. That’s what we should expect herein 2012 and the answer is yes, that should be the expectation as we go forward.
Scott Graham – Jefferies & Co.: Thanks very much.
Andrew Silvernail: Thank you.
Operator: (Operator Instructions). And at this time, I’m showing that there are no further questions in queue.
Andrew Silvernail: Well, everybody, thank you very much for taking the time this morning. Again, we’re delighted with how we finished the year and we’re pleased with how we’re seeing the start to 2012. We’re exceptionally proud of what the team has accomplished across IDEX and we look forward to having a solid year in 2012. And we’ll talk to you again in the first quarter.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect.